Operator: Good morning and welcome to the Fourth Quarter 2021 Earnings Conference Call for Orchid Island Capital. This call is being recorded today, February 25, 2022. At this time, the Company would like to remind our listeners that statements made during today's conference call relating to matters that are not historical facts are Forward-looking statements subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Listeners are cautioned that such Forward-looking statements are based on information currently available on the management's good faith, belief with respect to future events and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed in such forward-looking statements. Important factors that could cause such differences are described in the Company's filings with the Securities and Exchange Commission, including the Company's most recent Annual Report on Form 10-K. The Company assumes no obligation to update such forward-looking statements to reflect actual results, changes in assumptions, or changes in other factors affecting forward-looking statements. [Operator Instructions]  Now, I would like to turn the conference over to the Company's Chairman and Chief Executive Officer, Mr. Robert Cauley. Please go ahead, Sir.
Robert Cauley: Thank you, operator, and sorry for the delayed start. We did have some technical difficulties, we got those cleared up. So apologize. Get going here. I hope everybody's had a chance to download the deck as usual. The deck has not changed materially from quarter-to-quarter. So hopefully it’s same. But on our call before you're familiar with the kind of agenda and the format. So kicking off, Slide 3, just a kind of outline of what we're going to discuss, as usual, go over the financial highlights for the quarter ended December 31, 2021. And spend some time talking about market developments, which impacted the results for the quarter and kind of talks about what looks – what things look like going forward. We'll go through our financial results in greater detail and then do the same with respect to portfolio characteristics, our credit counterparties in hedge positions. And this quarter, given the magnitude of the market developments since Q end, we’ll basically expand a discussion on each of those points to kind of bring you up to date for the current quarter. Turning to Slide 4, the results for the quarter ended December 31, we had a Orchid recorded a net loss per share of $0.27. This is comprised of net earnings per share of $0.22 excluding realized and unrealized gains and losses on our RMBS and derivative instruments, including net interest expense on our interest rate swaps. We have a loss of $0.49 per share from net realized and unrealized losses and RMBS and derivative instruments including again net interest expense and our interest rate swaps. Book value per share was $4.34 at December 31, verses $4.77 at September 30. That's an approximately 9% decline. In Q4 2021, the company declared and subsequently paid $0.0195 per share in dividends. And since our initial public offering the company has declared $12.545 in dividends per share, including a dividend declared in January, February of 2022. The total economic loss of $0.24 per share for the quarter equates to 4.93%. And that's not annualized product. Turning to Slide 5 and actually 6. Given that there's quite a bit of information to cover in this call, I'll just leave these for readers to peruse at your leisure. I'm not going to spend any time talking about them. They're actually somewhat backward looking through this stock price performance at the end of the year. And with respect to book value, since we don't have all of our peers book value numbers for Q4. This is only during the third quarter of last year. So I'll leave you to look at those at your leisure. Now we can talk about market developments. And first, I just want to pause briefly just to kind of give you the high level developments during the quarter that shaped what happened both in Q4 and even to larger extent in Q1. Three basic things. First of all, inflation has accelerated materially. If you go back to the second quarter of 2021 whether it’s CPI or PCE either measure of inflation has been rising rapidly. The Fed characterized this acceleration is transitory. They have since abandoned that characterization and changed their outlook materially as well. Even inflation seems -- seem to kind of level-off if you will with five or so percent annual increases year-over-year during the third quarter. But in the fourth quarter and into 2022, it's accelerated. And depending on your measure whether it's CPI headline, which is well over 7% or PCE, which is a little under 6% on a headline basis, these numbers are clearly well above the Fed’s target range. The second development was just been job growth and wage growth. Again, very, very strong, and this is all in spite of COVID and Omicron. And then thirdly, the byproduct of those two is development by the Fed has -- which has pivoted meaningfully. The Fed has a dual mandate, as we all know, which is price stability and full employment. We clearly do not have price stability. And if we're not at full employment, we're very close and on the verge of being. So starting in early November of last year and December, and January of this year, the Fed has meaningfully pivoted, and their outlook for monetary policy has moved materially. So that's basically what's happened.  Turning to Slide 8. As we typically show the yield curve, both nominal treasuries and swaps. Just want to make three points. First of all, if you look at the left-hand side or the right, you basically see that in this fourth quarter, we had a flattening of the curve, whereby shorter term rates rise more than longer term rates. The flattening had occurred in Q4 was just a repeat of what happened in Q3, and frankly, in Q2. So throughout the last three quarters of 2021, the curve has flattened, that's point one. Point two, the flattening in the -- magnitude of the flattening in the magnitude of the movement in rates year-to-date in 2022 exceeds all of the movement we saw over the last three quarters of 2021. And then the final point. This is very true in respect to Q4 is the longer end rates, the tenor did not move in case of nominal treasuries and move slightly with respect to swaps. Even year-to-date 2022, if you look at the yield curve, we've seen the tenor rise by about 50 basis points, that the five years moved by over a 80. So I don’t have the exact number to when it was 86 basis point so we've seen a meaningful flattening of the curve. And this is all in response to expectations on the part of the market for meaningful Fed in straight-lines. Slide 9 again, you see both the tenor treasury and tenor swap on our quarter – Q4 only in the last few years. As you can see rates were fairly stable. In Q4 since then tenor rates have moved higher, basically into a new range. But again, it seems to have stabilized somewhere in the 2% range and [indiscernible] is significant. We'll talk about that a little more later in the call. Slide 10. This is kind of our proxy for our earnings power. This just shows you the slope of the curve between the five year treasury and the 30-year bond. You can see this goes back to our inception. Most recently, starting last year, we've seen curve flattening and this is a trend that is not our friend. This foretells earnings pressure. So we got to about 40 basis points at the end. Most recently, this week was little under 62 at the end of the year. And frankly, if you look in the forward curve, even six months, it's basically flat or almost zero. Now turning to the performance of the mortgage market. Couple things we need to stress here, and this is really relevant for Orchid. As you can see on the top left-hand side, we're showing the performance of all these five 30-year fixed rate coupons and we normalize the state effects at the beginning of the quarter, so we can show in our minds just a clearer picture of relative performance. What's very notable, remember we had the fed announced tapering in November, and we have them accelerate tapering in December. The markets been expecting this, but the Fed is clearly responding to these economic developments and they're going to rapidly slow their asset purchases. You might have thought that the production coupons are the coupons that were most purchased by the fed would have suffered, especially late in Q4 and if you look at this line closely, you can see that Fannie 2.5 were the worst performing coupon. The Fin 2s did better than Fannie 4s. So in our minds that's quite counter-intuitive. Fannie 3s did fairly poorly, almost as bad as 2.5s. And the reason lies in what you see in the bottom left, which is withdrawals. Even though the Fed has announced the tapering of their asset purchases, rules have been persistently high even into 2022 and what’s notable here and at least in the fourth quarter and more so in the current quarter, as you can see 2.5 remain strong. The 3 role, which really didn't make much sense to us in the entire was one a Premium Mortgage, the underlying cheapest deliver collateral was paying very fast and the Fed was not buying them. That role has been strong and even more so, well, head scratcher so to speak, there's the 3.5 role over the course of the fourth quarter improved, and continue to improve more so in the first quarter of 2022. Unfortunately, if you're an owner of spec securities as we are, developments in the role market tend to be inverse related to the payoffs for specs. And if you look at the top-right, you can see that spec paths have been soft in the end of 2021. And on the bottom right, this is a very useful picture. So what this basically shows is the payout for what we would call lower quality collateral, higher loan balance, still outperforms cheapest to deliver. But it's most sensitive to developments in the role market. So the role market is the red line, as you can see, towards the end of the year, the role is trading, this is the Fannie 3 coupon around five ticks, and the payout this is on the left-hand side was a little over 40. And so this divergence against in favor of roles and against specs was unfortunately not the way we were positioned. Here today 2022 that red line, which is the role for Fannie 3s is now like 8.5 ticks and the pay up for 225K3 [ph] is well under 20 tick. So that divergence has increased materially. Turning to slide 12. This is just a picture on wall. Two points I'll make here, one, really since the end of the first quarter wall traded in a fairly well-defined range for most of 2021, ended the year around 80 normal walls. This is three month by tenure, since your rent has increased, certainly -- I was higher than where it was, but not meaningfully. So it's really only around 90, sitting here at the end of this week. Slide 13. A couple of charts we like to use every quarter. On the left hand side, these are just LIBOR OAS for the 30 year coupon stack. And as you can see, the lowest two lines there are 30 or choosing two and a half. So those have been the coupons most in favor by the Fed. And they've been very, very tight and we're consistently tight even really through the end of the year, even though the tapering was announced. With respect to higher coupon, they were fairly stable as well at higher levels. Not so much beneficial for us was if you look in the right hand side, you can see the pay-ups for various loan balance threes were pretty stable even into the fourth quarter. That has changed. All of these numbers that you see on the right hand side are down between 30 and 40 TIPS. Obviously, these are three so whereas a 30% coupon traded with a $1 or $3 price at the end of the year, now they're more or less coupon. So, those have dropped significantly since year end. Just a picture on various components of the aggregate indices, fixed rate indices in equities as well. This is pretty much the same for both Q4 and year, higher risk assets get better. So the S&P, emerging market high yield, domestic high yield did well, TIPS did very well with the increasing inflation not surprising. And mortgages, unfortunately, were laggards and with respect to Q4, if you were to look at the one of the tendencies we have on page 33, we give you the results for just December. And unfortunately, agency mortgages are on the bottom of the stack, so rough quarter for mortgages. Turning to kind of a refinancing outlook. These three charts we like to use quite frequently again. Top left, we show you the Refi Index, and it's been trending down in the latter half of 2021, end of the year, as you can see based on this somewhere around 2,500. Since year end that number, the most recently this week is about 1,666 or so. So it's dropped even more. The red line here is the mortgage rate. Well, we ended the year under 3.4%. Today, that number is appreciably higher, it's in the case of the Freddie Mac survey right about 3.9% as a trace of the bank rate, it's around a little over four. So that's going to meaningful change. It does appear that you might see some burnout in this slide just because of the way the Refi Index has been dropping. But really that's not what's going on. If you look at the bottom, you see this shaded area, this just represents the percentage of the mortgage universe that's refinanced will buy at least 50 basis points. Ended the year, north of 30 was around 40% at the end of the third quarter. Today, it's under 15%. So really what's happened is just that everybody that could refi pretty much has and most of the markets have more coupons. So the Refi Index is quite low and the percentage of the market that's refinanced is also very low. Turning to our results of operations on slide 17. Just want to make a couple points here. On the left hand side, we tend to, like we always do we disaggregate our earnings per share by our proxy for core, although it's not the same number that we get from our peers, and then the realized and unrealized gains and losses, and you can see rather large number there for unrealized gains and losses. I want to talk about this more in a few moments. But I want to point out on this page, that most of the losses that were incurred, were unrealized, the securities we still own. So even though they took mark to market losses, our realized gains were actually quite small. So the portfolio that existed at the beginning of the quarter, for the most part was still there at the end of the quarter. And then with respect to the right side returns by sector, which we aggregate our capital into either a pass-through strategy or structured securities, which are predominantly IOs and to a lesser extent inverse IOs, pass-throughs did quite poorly. And IOs did okay. But given the fact that longer rates and especially Q4 really didn't move, iOS tend to be sensitive to both longer rates, mortgage rates, and prepayment expectations. And while they did okay, they weren't enough to overcome what we saw with respect to pass throughs.  Slide 18, we just kind of give you a picture of our NIM going back, at this juncture, if you look at the green line that's kind of where we've been in a pretty stable pattern, slight uptrend actually into the end of the year. But the blue line, the yields on our assets, even though they were up slightly this quarter. Based on where we sit today, with the long end being fairly stable, we're just not so sure how much that's going to increase because we're pretty sure the red line is. And so at this juncture, from an earnings perspective, all eyes are on the Fed. The meeting in March is going to be critical. I think earlier in this quarter there was a high probability priced in by the market for a 50 basis point hike. I think that's less so now, but I think it will be important for setting the trend. Of course, also, the general will speak at a Press conference and have a lot more to say about their anticipated path. And we'll get the dot plot. So March will be very critical for kind of setting expectations for the balance of the year, for funding rates, but also we have to be watched and mindful of the long term rates. At the end of the day, that's what controls our men. So at this point, there's quite a bit of uncertainty in terms of the outlook for monetary policy, and that hopefully will diminish over the course of the year. Slide 19 is just basically more of the same which we just looked at. And then Slide 20 is just kind of our dividend versus our peers. This is historical information. I don't need to dwell on that now. Turning to slide 21, there's not much written on this page, but this is where I basically take a chance to kind of pause and spend quite a few moments talking about our positioning, the impact of our positioning on our results both for Q4 and Q1, and kind of our outlook going forward. After that then we'll continue through the slide deck and I can give you more detailing or detail on our portfolio positioning, our activity Q4 positioning at the end of the year, activity this year, and kind of our outlook going forward. So with that, I want to say that I think that our outlook for the rate markets and the Fed was pretty much correct coming into the end of the year. We are positioning really, since the end of Q1 again we would consider defensive in nature. We expected higher rates not quite the way it played out in terms of the flattening of the curve, but we did expect higher rates. We did expect to fed the taper and in response, we avoided production coupons in anticipation the taper, we expected rule softness and we overweighted higher coupon specs, that was the way we could generate our income without exposing ourselves to the fed taper. We did increase our capital allocation to iOS and we kept our leverage ratio on the lower end of our typical range. However, in Q4, especially in 2022, spec performance has been poor. Even with the taper and the acceleration of the taper announced in December and January, roles have remained quite strong. We've also seen a great increase in rates and we also happen to have the seasonal we're at the point in the year when speeds tend to be slower and fed buying, even though it's diminished with production lower until at least the last few weeks, fed purchases are still above production. So all of that has combined to keep it roll strong. And as we've said before and I'll say it again, roll strength impacts pay us for specs. Some of the other nuances which are not as high profile, but still matter is that the dealer community, which are typically large players in the spec market. They position them either to sell to customers or more often for position on for a few months, collecting very attractive, carrying and sell them into the market. And they almost exclusively hedge those positions through the TBA market and with the roles as high as they are, in effect, the hedging costs are quite high. And so, they've been much, much of a less of a participant in the market. So again, it's been a negative for suspects. And then frankly, what's going on in the market in the extent of uncertainty that surrounds the mortgage market with tapering, and balance sheet runoff and potential QT on the horizon, we're very much in a risk off market. So mortgages generally have done quite poorly. So, where does that leave us? And how do we look at the world from this point forward? And the answer from our perspective is we still prefer the specified pull market over the TBA market and I’m going to explain you why we do that way. Few points to make. One, the fact that the long end of the curve has remained fairly stable tells us that the market expects the Fed to be successful in continuing inflation. So, we expect long end rates to probably remain very stable for the balance of the year. Secondly, mortgages have widened a lot, especially in this year. One index that we look at is the spread of a current coupon mortgage to the 10 year ago, that was trading in the low to mid-50s last summer. Even as latest, January of this year was only increased to 78 or 79 basis points. And as of yesterday and the day before, it was at 100, a little higher. So mortgages have wind quite a bit. And they may wind more, there's no question that there's still a lot going on in the market that's generally negative. And we could see some wind in the short-term. Long-term, though, I think 100 over the curve is cheap. And I think that mortgages will by the end of the year or next, we'll come back and trade in their more historical range, which is kind of a low 80 to mid-80 spreads. So for that reason, long-term we like mortgages, short term it's going to be challenged. And then if you think about it, in terms of where we sit in the market today, in my mind, we're at a point of when I would call maximum uncertainty. We have very high degree of range of potential outcomes with respect to the Fed over the course of the year. How fast is the Fed going to run their balance sheet off, over what time frame? How much are they going to allow it to shrink? Will they do quantitative tightening, and then we have what happened this week with respect to the Ukraine. So, we're at a point of very high uncertainty in the market, especially the mortgage market. And when that's the case, the market is it always does prices in a very high risk premium. And I think that's reflected in the spread at which mortgages trade. And in the sense, you could say, with respect to mortgages, we’re kind of at an absolute bottom in the sense that, we have all of this uncertainty and really no sponsorship, the Fed buys, but they're diminishing their purchases rapidly. Banks have nothing buyers nor money managers. So, really you have maximum uncertainty or risk premium price into the mortgage market with no sponsorship. But we think this is going to abate. And that's important. We think that over time, over the course of this year, as the data comes in, and the Fed takes actions that over time, the range of outcomes for the Fed will narrow and the market will focus in with higher degrees of comfort on what they view like the terminal rate will be. And at that point, we think that this risk premium will be able to come off, and we also think that roles will be hard pressed to maintain these levels without the Fed sponsorship and as roles come off as a positive for specs. And there are other factors that lead us to want to continue to own specs on the horizon kind of secondary factors, but one, for instance, is in the fourth quarter of this year, the indices will include specs, so to the extent that our benchmark money managers out there, they will be buyers of specs, if softness abate, the dealer community can be reengaged and started own them. And then finally, just the fact that the conforming loan limit increased so much this year, the convexity of the cheapest collateral, PVA collateral is quite poor, another reason to own spec. So, where does that leave us? Well, it's been a rough quarter, we've incurred some mark-to-market losses, as you probably can infer based on what I've said, but we are not inclined to sell. We have no compelling reason to lock-in losses. The carry on these assets is very excellent. We have had to reduce our balance sheet some. We will continue to maintain levels of leverage, but we are very good at managing our liquidity and we've been able to do that throughout all this period. And we been able to minimize the realized losses that we've incurred both in Q4 and Q1 to-date. So, we basically have been able to retain a big chunk of this portfolio. And we think one that is just going to provide excellent carryover the balance at the end and two, longer term, the performance outlook is very favorable. So, with so I'm move through the balance of the slide deck, won't spend as much time on some of these slides. The first slide is 22 and you can see that with respect to our IO book, it has moved fairly sizably in percentage turns roughly from 20% to 30%. Some of that is purchases of IOs, otherwise, it's just market just the fact that IOs went up in price and cash is down. Year-to-date, that percentage is even higher towards path, a few IOs and for the same reason. We show our activity for the quarter on the right hand side and I need to dwell on that at this moment. Let's just turn to slide 24 and I can talk about the portfolio in little more detail. If you look at this snapshot of the portfolio on December 31st, it looks very similar to the way it was at the end of the third quarter, just bigger. We were raising a lot of capital last year, and our total mortgage assets increased by about 16% over the quarter. However, the composition the breakdown was very stable. In fact, even Vale only changed by one month. And the hedge positions I'll talk about in a moment here. Since year end as I mentioned, we've -- the market has been very, very bad, we reduced the portfolio by about 20%. The way that we did that is combination of and two and a halves and threes, roughly even a little more under selling two and a half versus 30s. And we've recorded realized losses quarter-to-date of about $35 million. If you look at this, just one final point, just our interest rate shocks we went -- as of the end of the year, and the profile is relatively flat. And that's typically what we strive for, that $31 negative million number even though that's model-based, that represents a fairly low percentage of both assets and equities. Just quickly going through the bounce of the slide, slide 25. The refi index, as I mentioned, is much lower, it's well under 2000. Our spec allocation is probably up slightly since year end. It has been declining for the second half of last year, most of last year, up this year just because of the relative allocation of sales -- quality of the specs. With respect to our speeds, our portfolio continues to pay very, very slow. Our passes prepaid at nine CPR in the fourth quarter, structured were under 25. So far in 2022, January was even lower than the 9% it was a little higher in February. But Q1 basically on track to match the board might be slightly lower. Slide 27 just a couple points here. This orange line is the 10 year treasury and I think what's kind of notable here, we ended the year about 151 basis points and where we sit today, it's about 200 that's still well below levels observed in 2014, 2017 and 2018 and even early 2019, yet refinancing activity is lower. And the real reason is just that we basically got everybody into a lower coupon and has very little of the index, the mortgage University refinance well. So in terms of our speeds, what we could observe over the year, I'm not so sure, if we get to the low levels we saw back in 2013 and 2014. But we would expect them to below that – be below that dotted line for this year. Slide 28, just talks about our leverage, we're targeting somewhere, 8 – 7.5 to 8 that's where we are today. It looked like we took a dip in the end of the second quarter. That's really misleading. We were raising capital back then we raised the slug right before quarter. And so early in Q3 that number was back up around eight. So it will be down slightly from there kind of going forward. And then finally, with respect to our hedges, I'll kind of talk about this two perspectives, one, what we did in Q4, and then we've done Q1. So starting on the top left, with respect to our futures, the future position grew quite a bit in Q4, more so on the five year point of the curve. As I mentioned, we've seen a tremendous amount of flattening. When I certainly reposition defensively coming into Q4 that was more of a bias towards the long end in terms of hedges that we've shifted that, added to the fives and also Alturas and then with respect to the TBAs, we did add some threes as of the end of the year that was end of Q3, and then that actually was basically gone. Now, with respect to our swaps, as you can see, over the course of the quarter, there was really nothing that was nothing done at all since the end of the quarter, well, we move those, some of the three to five year bucket, those were just older five – four and five years swaps that were rolling down the curve. We extended those out to the seven year point occur. And then with respect to our swaps, there were not material changes, we did have a contingent care flow that was unwound just because we kind of gotten out of that trade that we could. And we have put on one trade since year end, which is not really relevant for this discussion. We can talk about that at the end of the quarter. That's about it. Those were the extent of our prepared remarks. And with that, operator, we can turn the call over to questions and field any questions anybody might have.
Operator: Thank you. [Operator Instructions] We will take our first question from Jason Stewart with Jones Trading. Your line is open.
Jason Stewart: Great, thanks. Good morning. Thanks for taking the question. How are you? I wanted to start with just two quick things. One, if I missed year-to-date book value, if you could give me that? And then two, maybe a quick update on how you're thinking about share repurchase activity and in light of where – where the stock is relative to book?
Robert Cauley: Yep. Well, I did not say, it's done close to 20% owned the fact that especially in February, with the move in TBAs, and specs. And with respect to share activity, we have not been able to do that in our blackout period, also, given the magnitude of developments in the market or in the quarter, we certainly feel comfortable, doing anything until that news was fully in the market. So now that it is, we are positioned to continue to use our share repurchase plan, it did increase the size materially in December up to 10% of our outstanding and to the extent the stock is trading below, we have every intention to use that.
Jason Stewart: Got you. Okay. And then going to thinking about the dividends based on a current book. I mean, that sort of has the current $0.055 run rate is it fairly high ROE or implied ROE payout. How do you sort of foot that with the current economics? And do you feel like you get credit for it? Thoughts on leaving it at $0.055?
Robert Cauley: I would say that the outlook is not favorable for the dividend. We really want to see what happens in March. And that's a pretty pivotable -- pivotal month decision. As I said, not even two weeks ago, the market was pricing at a pretty high probability at 50. That's come off, especially with developments in the Ukraine, but we really want to see what they do and what they say that this products looks like. And it's quite possible, there may be an adjustment, but we just want to make sure we kind of have a better feel for what we're looking at before we do so. But obviously, I mentioned on the call that the forward curve out even six months is inverted. So this is not a favorable environment for leverage bond investors or limiting investors of any kind. So I hope that you can extract from that what you will.
Jason Stewart: Right. Right. Got it. Okay. Last one, and then I'll jump out. If we just take a bigger picture view of pay-ups, and sort of, CPR is moving to a natural rate of turnover at some point there's little risk left in owning, specified pools. How much risk do you think is left in the portfolio in terms of pay-ups premium or do you feel like we're already -- we’re sort of at that point where it's an even economic trade and there's only upside?
Robert Cauley: Yes. I think we're close. I think we’re there. I don’t know if you make much of what happened late yesterday, and today where mortgages have rebounded, but it seems like near term we've gone through a lot of widening and specs have really suffered with the rolls. But we own threes predominately you know, and in the third quarter, fourth quarter, those are one of the $3 prices not their current coupon. So depending on the story those pay-ups are very low. Could they get a little lower? Probably. But the outlook going forward, I think is very asymmetric. And the fact that the long end it is stayed where it is and the market seems comfortable with the Feds ability to contain inflation. I think as we go through the year, and the Fed does hike, they often overshoot as we all know. It could be that not long from now, a year or so from now we're looking at in the market starts pricing in the next recession. And so we're very keen on trying to maintain that optionality. That's why we're not going to sell all these specs, even if there is a little near term pain, because we think long-term but, for instance, we were putting new money to work today. What would you buy? And I think they represent value, our earnings outlook isn't so great just because of the Fed. But from an asset only perspective, they look very attractive. And we're trying to maintain that optionality. We're doing our best with respect to managing our liquidity, trying to keep our leverage ratio prudent, but trying to maximize how many of these we can hold on to, because we think they have good carry in the near term and upside in the long-term.
Jason Stewart: Got it. Thanks Bob. I appreciate it.
Robert Cauley: Yes
Operator: Okay, next, we'll go to Christopher Nolan with Ladenburg Thalmann. Your line is open. 
Christopher Nolan: Hey, Bob. Given that it's an election year, do have you historically, how has the mortgage market responded to them?
Robert Cauley: I know that they have -- there is much, it's not a presidential year. So the focus will only be on the congressional and Senate races. I don't expect that. I mean, the instance and I will ask Hunter to chime in the only time we really seen elections affect markets is through the Fed and maybe the perceived reluctance on the part of the Fed to do a lot to disturb the economy in the run up to an election, a presidential election. I don't think I've ever seen that with respect to other races. And I wouldn't expect?
Hunter Haas: No, I don't think I would add to that, it's just to the extent that, it's either going to stoke the fires of inflation or cooled off a little bit in a reversal of some of the energy policies perhaps or if you go kind of the other way, if you have a strong push and a willing Congress to push through some sort of an infrastructure project on top of hyperinflation that we're seeing that could be bad for us. But other than that, I wouldn't expect it to be material.
Christopher Nolan: Great. And I guess, just follow-up in terms of the portfolio declines. Are you anticipating any further reduction in the portfolio size and the rest of the quarter?
Robert Cauley: We call it yes, if the market continues to move against us. We're doing everything we can to maximize our retention, subject to the constraint that we're not going to let our leverage ratio get out of control, because we need to maintain lots of liquidity. So to the extent the market goes more against us and our book value were to come down, our leverage should go up, we have been clean as needed. In the last few months have been sort of a slower evolving version of the taper tantrum we saw in 2013. And, I think when the dust settles -- when the dust settled then as well as now, there were opportunities to be had and I think that continues to be the case. So for us, we're just taking day to day making sure that we have ample liquidity to deal with continued weakness in the mortgage market, and so that we can meet all of our margin calls and maintain leverage, that's reasonable. And so that's kind of how we're going about this. When things start to calm down a little bit, I think we can reassess and see what the longer term vision is going to be.
Christopher Nolan: Got it. Thanks, guys.
Operator: [Operator Instructions] Next, we'll go to Mikhail Goberman with JMP Securities. Your line is open.
Mikhail Goberman: Hi, good morning. I just have a quick follow up on that portfolio reduction question. You said you've reduced it by about 20% since here and mostly in two and a half threes to reduce the IO percentage.
Robert Cauley: So that percentage would be higher.
Mikhail Goberman: Right IO's are now bigger percentage of the portfolio. And I think I remember you saying that the TBA shorts he had on as of the end of the year gone now is that right?
Robert Cauley: As of the end of the year gone. Yeah. And what we will do sometimes when we sell assets will sell TBA and then fill with polls. So that's really not a hedge trade so much. It's just a means to facilitate a trade or sale or we by the same way as we buy on swap as well
Mikhail Goberman: All right. That's it for me. It sounds like a pretty difficult environment right now. Wishing you guys best luck going forward.
Robert Cauley: Yeah, it's been a brutal quarter to be a mortgage investor and kind of abandoned by everybody. Nobody wants to own them. So nobody wants to buy a few billion. Let us know.
Mikhail Goberman: I'll keep my eyes.
Robert Cauley: Okay.
Mikhail Goberman: Thanks.
Operator: I show we have no further questions. I'll now turn it back over to Bob Cauley for any additional or closing remarks.
Robert Cauley: Thank you, operator. Thank you, everybody. Appreciate your interest. As always, to the extent you have further calls or questions you want to contact us directly, feel free to contact us at the office. Our number is 772-231-1400. Otherwise, we look forward to talking to you next quarter. Thank you.
Operator: That does conclude today's conference call. You may now disconnect.